Operator: Good morning. Thank you for joining today’s call. With me today are George Colony, Forrester’s Chairman of the Board and CEO; Kelley Hippler, Forrester’s Chief Sales Officer; and Mike Doyle, Forrester’s Chief Financial Officer. George will open the call, Kelley will follow George to discuss sales, and Mike Doyle will discuss our financials. We’ll then open the call to Q&A. A replay of this call will be available until August 25, 2018 and can be accessed by dialing 1-888-843-7419 or internationally 1-630-652-3042. Please reference the pass code 7332305#. Before we begin, I’d like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the company’s current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. I’ll now hand the call over to George Colony.
George Colony: Good morning and welcome to our 2018 Q2 investor call. I will give a briefing on our progress in the quarter. And following my remarks, our Head of sales, Kelley Hippler, will give an update on the selling team. Finally, Mike Doyle, the company’s CFO, will give a financial review. In the second quarter, we showed strength and growth across nearly every part of our business, resulting in revenue and EPS that exceeded guidance for the quarter. Bookings for all the company’s products grew, with half of the portfolio expanding at double-digit rates. In addition, all sales teams grew their businesses in the second quarter, with the majority of regions growing at double-digit rates. The company’s organic bookings grew at the fastest rate in five years. Mike will take you through a range of financial metrics, but I wanted to highlight two here. Our dollar retention continues to show good growth year-over-year, now standing at 88% on a rolling basis. Enrichment continues to ramp upward as it has been doing over the last several quarters. It is now at a five-year high and we expect continued increases in the quarters ahead. Three factors are contributing to our performance. Number one, the customer engagement model, this is our new selling structure in motion, continues to yield improving results. Customer success managers in premier accounts are improving experience and driving increased engagement positively impacting renewals. Solution partners are successfully uncovering new opportunities in user accounts, increasing enrichment. So the hard work over the last 2.5 years is beginning to payoff. The second factor accelerating our business is the continuing transition of our product set towards more flexible and digital forms. This is increasing the value of research, simplifying access to our insight and enabling clients to match challenges with solutions quickly. Digital enables our clients to get to outcomes faster, with more ease. And finally, the age of the customer continues to challenge large companies, opening opportunities for Forrester. In Q2, we won the largest project in the history of the company, a multimillion-dollar customer experience engagement for a large U.S.-based financial services company. So we’re feeling positive about achieving our guidance for the remainder of 2018, and we are confident that we will continue to progress on our growth plan. On the Q1 call, I described the real-time customer experience cloud. This set of products will enable our clients to sense and improve experience in real-time, a capability that will increasingly – that will become increasingly critical as our clients’ customers become more demanding. We believe that real-time is the next frontier of CX, and our clients from retailers to insurance companies to electric utilities are ready to move in this direction. We have recently acquired two companies that add important elements to the real-time CX Cloud, this is FeedbackNow and GlimpzIt. FeedbackNow deploys physical buttons for recording customer sentiment in real-time. The company has installed over 10,000 devices, with 200 clients in 15 countries. The company has a dominant position in Switzerland, Germany and France and is just now moving into the North American market. The company records approximately 200,000 feedbacks, or what we call Taps, every day. FeedbackNow will be the physical button input source to the real-time CX Cloud, enabling banks as an example to analyze branch and digital experiences on a side-by-side basis. GlimpzIt is a digital research start-up based in San Francisco and we’ve acquired the company for its capabilities in AI, machine learning and analyzing unstructured data. The GlimpzIt technology will be deployed in the analytics engine of the real-time customer experience cloud. And this will give clients instant analysis of a wide array of feedback sources and direct them to focus on those parts of their experience that will have the most impact on customers and revenue. Real-time clouds will be introduced over the next several quarters, and I’m going to keep you updated on future calls. I would now like to end by talking about our events business in the second quarter. Events showed year-over-year growth led by our largest event in the company’s history, CX Customer Experience New York. This event had over 1,200 attendees and 52 sponsors. Over $4 million of sales pipeline was generated at the CX New York City Forum, this is the largest lead generation of any past forum. The Digital Transformation Forums in the U.S. and Europe showed strong growth in user attendees. This growing franchise attracted a widening array of technology sponsorships, drawing from Europe and Asia-Pacific in addition to the traditional North American market. So to conclude, we’re very pleased with where we stand at midyear with all parts of the business growing, many at double-digit rates. So thank you for being on the call. Now I’d like to hand it over to Kelley Hippler. Kelley?
Kelley Hippler: Thank you, George. Q2 was a solid quarter for the Forrester sales organization as we continue to gain momentum with our customer engagement model, or CEM. Our efforts to align our selling and engagement resources based upon client need have enabled us to drive more value for our clients, as they tackle the myriad of challenges that come with trying to thrive in the age of the customer across both their business and technology organizations. I am pleased to report that all of our major key performance indicators are trending in the right direction versus prior year. In addition to those mentioned by George, we saw improvements in our pipeline conversion rates, sales rep productivity, percentage of reps at plan and sales rep attrition. The net result was strong year-over-year bookings in all geographic regions against an aggressive bookings plan. We also had good momentum across our two selling motions, premier and core. With the standup of our premier user organization into the CEM complete, our work to drive operational excellence continues. In Q2, we rolled out a new forecasting and pipeline management process that contributed to our improvement in conversion rates. In addition to evolving our territories to be vertically focused, our sales analytics team has done extensive analysis on the combination of products that drive the highest retention rates by segment, so that we can help our sellers to be more prescriptive about what is proposed in certain selling situations. These insights are helping to fuel our collaboration with our product teams to deliver both new products and bundled solutions. With our marketing organization, we are seeing an increased strength in our lead and pipeline performance, a good sign that we are tapping into greater growth. As well, we are getting a much better feel for the outcomes that we are helping to create for our clients, outcomes that help us better sell in the future. We still have more work to do to ensure that we deliver consistent results. But we are pleased with the current trajectory that the sales organization is on. With that, I would like to turn the call over time Mike Doyle to review our Q2 financial results.
Michael Doyle: Thanks, Kelley. I’ll now begin my review of Forrester’s financial performance for the second quarter of 2018, including a look at our financial results, the balance sheet at June 30, our second quarter metrics, and the outlook for the third quarter of 2018. Please note that the income statement numbers I’m reporting are pro forma and exclude the following items: stock-based compensation expense; amortization of intangibles; acquisition and integration costs; and net gains and losses from investments. For 2018, we are utilizing an effective tax rate of 31% for pro forma purposes. For the second quarter of 2018, Forrester exceeded revenue, operating margin and earnings per share guidance. Demand for time with our analysts drove double-digit advisory revenue growth. In addition, reprint revenue was up significantly due to strong organic growth and a prior period revenue adjustment from the first quarter, which added 1 point to our overall growth. Expenses for the quarter were in line with expectations, which resulted in a margin and EPS well above our guidance. Key retention and enrichment metrics continued to improve, and we had bookings growth across all sales regions and products. Now let me turn to a more detailed review of our second quarter results. Forrester’s second quarter revenue increased by 7% to $96.4 million from $89.7 million in the second quarter of 2017, as reported, and increased 6% on a currency adjusted basis. Second quarter research services revenue increased by 7% to $58.3 million, from $54.6 million as reported, and increased 4% on a currency neutral basis and adjusted for the prior period adjustment on reprints. Research services revenue represented 61% of total revenue for the quarter. Second quarter advisory services and events revenue increased by 8% to $38.1 million from $35.2 million in the second quarter of 2017, and increased by 7% with constant currency and represented 39% of total revenue for the quarter. The international revenue mix was 23%, up 1 point from 22% in the second quarter of 2017, and up 1 point with constant currency fueled by growth in our European, Canadian and Asia-Pac regions. I’d now like to take you through the product activity behind our revenues, starting with Forrester Research. Forrester’s public research and decision tools enable clients to better anticipate and capitalize on the disruptive forces affecting their businesses and organizations. We believe Forrester Research provides insights and frameworks to drive growth in a complex and dynamic market. In the second quarter of 2018, Forrester’s research library included 47 playbooks, the addition of 271 new documents, and we hosted 41 webinars for our clients. Research revenue increased by 5% for the second quarter of 2018. Excluding the reprints product revenue adjustments related to the prior periods that I just referenced, we are seeing strong enrichment gains as clients continue to buy into our age of the customer and team access premier – premium offerings, which also renew at stronger rates than our single reader memberships. Under our Forrester Connect offerings, which encompass our Leadership Boards and Executive Programs, Forrester Connect services are designed to help clients connect with peers and Forrester’s products and professionals and to coach executives to lead far-reaching change within their organizations. As of June 30, 2018, Forrester Connect had a total of 1,411 members, down 1% compared to last year and up 1% for the first quarter of 2018. Connect revenue increased by 5%, compared to the second quarter of 2017, driven by growth in our CIO and CMO Executive Programs, as well as optimized pricing in our leadership boards business. Our analytics products and services are designed to provide fact-based customer insights to our clients. Clients can leverage our analytics products and services or choose to have us conduct custom data analysis on their behalf. For the second quarter, revenue decreased by 8%, driven primarily by a decline in our custom data business, partially offset by solid growth from our business Technographics product. As George mentioned, the acquisitions of FeedbackNow and GlimpzIt, position Forrester to accelerate our efforts to digitally transform our analytics business and bring a new level of value to our clients. Forrester and Consulting, which includes our advisory and consulting services, saw total revenue for the second quarter increase of 11% compared to prior year. This was primarily driven by a 21% increase in our advisory services provided by our analysts, but also helped along by healthy growth from our consulting organization. Forrester held seven events in the second quarter of 2018, including our flagship CX New York Forum, which set another attendance record this year. For the second quarter, revenue increased by 8% on a same-event basis and by 15% overall. We will now highlight the expense and income portions of the income statement. Operating expenses for the second quarter increased by 7% as reported and 6% on a currency adjusted basis and were $82.7 million, compared to $77.1 million the prior year. Cost of services and fulfillment increased by 6% as reported and 5% with constant currency, due to higher headcount and merit increases and also due to a shift in forum expense from the third quarter related to moving our CX DC forum into the second quarter this year. Selling and marketing expenses increased by 7%, and increased by 6% with constant currency driven by higher commissions and merit increases, as well as higher travel and entertainment expense. General and administrative costs increased by 7%, and increased by 6% with constant currency. Headcount and merit increases and higher professional services costs drove that increase. Overall headcount is up 2%, compared to the second quarter of 2017 and up 2% compared to the first quarter of 2018. At the end of the second quarter, we had a total staff of 1,402, including products and advisory services staff of 539 and total sales force of 520. Products and advisory services headcount increased by 3% year-over-year and sequentially. Total sales force decreased by 3% year-over-year and was flat sequentially. Operating income was $13.6 million, or 14.2% of revenue, compared to $12.6 million, or a flat 14% of revenue in the second quarter of 2017. Other income for the quarter was $271,000, compared to $93,000 in the second quarter of 2017. Net income for the quarter was $9.6 million and earnings per share was $0.53 on diluted weighted average shares outstanding of 18.3 million, compared with net income of $7.6 million and earnings per share of $0.42 on 18.1 million diluted weighted average shares outstanding in the second quarter of 2017. I’ll now review Forrester’s second quarter metrics to provide more perspective on the operating results for the quarter. Agreement value. This represents the total value of all contracts for research and advisory services in place without regard to the amount of revenue that has already been recognized. As of June 30, 2018, agreement value was $249.6 million, up 5% from the second quarter of 2017 and up 5% on a constant-currency basis. As of June 30, 2018, our total per client company was 2,355, down 3% compared to last year and essentially flat for the last quarter. Client count, unlike our retention and enrichment metrics, is a point-in-time metric at the end of each quarter. Forrester’s retention rate for client companies was 75% as of June 30, 2018, flat to last quarter and to last year. Our dollar retention rate was 88%, flat compared to last quarter and up 1 point compared to last year. Our enrichment rate was 99% for the period ending June 30, 2018, up 1 point compared to last quarter and up 5 points compared to last year. We’ve seen consistent improvement in this metric over the last four quarters, which we attribute to our new selling model. We calculate client and dollar retention rates and enrichment rates on a rolling 12-month basis, due to the fluctuations which can occur between quarters with deals that close early or slip into the next quarter. The rolling 12-month methodology captures the appropriate trend information. Now I’d like to review the balance sheet. Our total cash and marketable securities at June 30, 2018 was $143 million, which is an increase of $9 million from $134.1 million at the year-end 2017. Cash from operations was $20.5 million for the quarter, as compared to $7.4 million in the second quarter of last year, as we more than made up for the shortfall in Q1 that was caused by our system implementation. We received $1.1 million in cash from options exercise for the quarter, as compared to $2.1 million in the second quarter of last year. And we purchased $5.3 million of stock during the quarter and we paid a dividend of $3.6 million, or $0.20 per share, during the quarter. Accounts receivable at June 30, 2018 was $49.5 million, compared to $51 million as of June 30, 2017. Our days sales outstanding at June 30, 2018 was 47 days, compared to 52 days at June 30, 2017. And our accounts receivable over 90 days was 5% at June 30, 2018, compared to 10% at June 30, 2017. Deferred revenue at June 30, 2018 was $143 million, a decrease of 2% compared to June 30, 2017. However, adjusting for the effect of the new revenue rules, deferred revenue would have increased approximately 4%.0 In closing, a very good quarter for the company. Our revenue results were strong. We had good bookings growth across all sales regions and products, and we continued to see improvement in our client metrics. Our operating margin and earnings per share exceeded expectations for the quarter and we are on target through the first half of 2018. Strategically, we are very excited about the two acquisitions George discussed. We believe they are critical building blocks for our larger real-time customer experience, cloud. We believe these acquisitions were a great use of our cash and we still have a very healthy balance sheet to pursue other opportunities. Now let me take you through the specifics of our guidance for the third quarter and full year 2018. As a reminder, our guidance excludes the following: amortization of intangible assets, which we expect to be between $400,000 and $600,000 for the third quarter and $1.1 million to $1.4 million for the full-year year 2018; stock-based compensation expense of $2.1 million to $2.3 million for the third quarter, and $8.5 million to $9 million for the full-year 2018; acquisition and integration costs of between $600,000 to $800,000 for the third quarter and $1.2 million to $1.4 million for the full-year 2018; and any investment gains and losses. Forrester is providing third quarter 2018 financial guidance as follows: total revenues of approximately $82 million to $85 million; pro forma operating margin of approximately 8.5% to 10.5%; pro forma effective tax rate of 31%; and pro forma diluted earnings per share of approximately $0.27 to $0.31. Our full-year 2018 guidance, which reflects the previously announced negative $0.05 impact from our recent acquisitions is as follows: total revenues of approximately $352 million to $360 million; pro forma operating margin of approximately 9.5% to 10.5%; pro forma effective tax rate of 31%; pro forma diluted earnings per share of approximately $1.33 to $1.40. We’ve provided guidance on a GAAP basis for the third quarter and full-year 2018 in our press release and 8-K filed today. Thanks very much. And I’m now going to turn the call over to the operator for our Q&A portion of the call.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question is from Vincent Colicchio. Please go ahead.
Vincent Colicchio: Yes. Mike, I think, it was last quarter, you talked about this year will be, maybe this is for George as well, a year of improving sales productivity, and next year is when you’re targeting growing the sales force. Do you think you may change that view in terms of the strong bookings you’re seeing?
Michael Doyle: I’ll give you – well, you know what? I’ll give you my take and I’m going to let Kelley give some color on it. I think that – I think for – right now, we are going to stay the course, as we’ve described it at the start of the year. I think, we’ve got a lot of good things. I think, Kelley described some things that she is also continuing to focus on. I think, we’re already seeing sales productivity improve and we’re encouraged by that. And I think what we want to do is continue down the path of putting all the things in place this year and then look to accelerate in next year’s numbers. But I’ll let Kelley give her color as well.
Kelley Hippler: Yes. Thanks, Mike. And I would agree with that. We’ve definitely, over the last couple of quarters, seen a nice uptick in sales rep productivity, but do believe under the new model, that we still have an opportunity to grow that even more so. And the plan will be to start adding additional headcount in again, starting in 2019.
Vincent Colicchio: Okay. George, on the two acquisitions you made, could you give us a sense for how long it may take for those companies to be – their capabilities to be integrated into your customer experience products?
George Colony: Yes. So FeedbackNow is, of course, running independently. They have revenue and actually, we heard this morning that they won Schiphol Airport in Amsterdam, which is kind of cool. So we have three of the five largest airports in Europe now. But I would expect that by Q1, Vince, we will – what has to happen here is the digital side of customer experience cloud is what is currently being built by us. So in Q1, you will see the digital side now become integrated with the physical side coming from FeedbackNow. So the cloud itself and FeedbackNow being included in it, FeedbackNow will be there by – in Q1. And remember, GlimpzIt, I talked about, they’re developing the analytics engine for the cloud. So I would say, that’s also a good timing for GlimpzIt would be Q1. So the cloud today, think about it very simply, the cloud today is a physical cloud using FeedbackNow. It becomes digital in the Q1.
Vincent Colicchio: And then what piece may be missing now that you would like to pick up in an acquisition to build further or build out your CX product?
George Colony: You’re talking about our acquisitions now? A whole bunch of them – there’s a whole bunch of opportunities that open up for us, Vince. You have opportunities in the inputs to the cloud. So as an example, the terms used is social scrape, the ability to scrape social to feed those taps into the cloud, that would be a space. There are other inputs around, as an example, at point-of-sale that we would be quite interested in for inputs. So that’s sort of set one. Set two then is more fortification, more power in the analytics engine of the cloud, so there are acquisitions there as well. So inputs, analytics, but I’ll tell you truthfully, it’s opened up a whole – we are very busy right now. There’s a very nice portfolio building up around the cloud for possible acquisitions.
Vincent Colicchio: Okay. Thanks very much for my questions.
George Colony: Okay. Thanks, Vince.
Michael Doyle: Thanks, Vince.
Kelley Hippler: Thanks, Vince.
Operator: Thank you. Our next question is from Tim McHugh. Please go ahead.
Timothy McHugh: Yes, thanks. Just want to follow-up. I think, the comment was half of the kind of regions or practices were growing double digits. And I guess, what ones were those? And I guess, what parts are lower right now?
George Colony: Did you say products or sales regions?
Timothy McHugh: I thought it was sales territories, but I can’t recall exactly how you said at the time.
George Colony: I think, it was products, Tim, and we did it both.
Michael Doyle: Yes, we did both, yes.
George Colony: Yes. I mean, on the product side, I mean, what we are seeing is from a bookings perspective, consulting really out of the gate a heavy demand. So we are building up a healthy backlog on the consulting business that we are pretty excited about. And I think that was the biggest play on the product side from a bookings perspective.
Kelley Hippler: Yes. And just to add from a geography perspective, we did have double-digit growth in Europe, Asia-Pac, as well as North America.
Timothy McHugh: Okay. What – so I guess, what’s the growth rate for bookings if we think about the research side of the business at this point?
Michael Doyle: It’s single digit, Tim. It’s been moving up. It’s the biggest part of our business. From a percentage standpoint, it’s a little bit of a larger numbers. But it’s been growing single digits. We’re in mid-single digits now. Clearly, we are looking for that to accelerate even more. But the trends have been moving in the right direction, particularly on what we call the user side of research. We’ve been happy about that. That’s been encouraging. So that said, we are not at the rates we want to be. I mean, I think, our game plan is to see that continue to accelerate. We’d like to exit the year closer to a higher single-digit core research number, because I think that bodes well for us as we go into next year.
Timothy McHugh: Right. And I think about the guidance change here, how much of the, at least, on the revenue side, I guess, was – did you change your outlook, I guess, if we strip out the acquisition here? How did your kind of view of the year change?
George Colony: On the revenue side, no. I mean, I think revenue was pretty much – we left it as is. And it’s really just the nickel that impacts EPS, which is a function of our – it’s a combination of things. But it’s integration costs and it’s just a pure expense of bringing on, for example, GlimpzIt. They’re doing a lot of development work. So they show up as an expense line item, and we expect the benefit of that investment to show in next year’s numbers. And for FeedbackNow, we are continuing to invest in that business. We are very excited about it. So we don’t – that’s not adding profit this year. But I think, that’s going to – both of these things will have – play a large part and will be accretive as we go into next year. But for this year, it’s just a net downside. But we didn’t show any revenue. I think, it’s nominal from FeedbackNow, so we didn’t adjust guidance at this point on the revenue side.
Timothy McHugh: Okay. And then lastly, kind of a bigger picture. Just, I guess, we walked off of the first quarter call probably feeling like you had started a little slower than you’d thought. It feels like you are better than you’d thought this quarter, I guess. So we’ve got a little bit of an up and down sort of volatility in just, I guess, the progress. So how do you look at, I guess, is there anything that you would say that gives you more comfort that this is like the most recent data point here, the improvement feels more sustainable, I guess, right? I’m just trying to contrast it with the last call and the sense of that may be on that one?
George Colony: Well, some of the noise with the last call, there were two things that sort of, I think, created challenges for us was the new revenue rules, shifted revenue and created some noise for us. And we had – in this quarter, we had a prior period adjustment that really should have fallen into last quarter. So our results probably would have been a little bit better last quarter. I think I’ll let Kelley talk about what’s been going on in sales. But I think we were very excited about every region growing, every product set growing. And I think, the fundamental trends around enrichment we are really happy to see, because that’s been a steady improvement over the last four quarters, which is really signaling that the model we put in place is really starting to take hold and we have a complex product set. And I think the structure was put in place to leverage the fact that we also have a very complete product set and solutions for our clients, and it’s really starting to work in a good way. But I’ll let Kelley give you some color on that.
Kelley Hippler: Sure. And then on the sales side, there are a couple of things that created a little bit of headwind for us, mostly self-induced in Q1. So in North America, we reorganized or realigned the premier user teams to move into the more industry-focused teams, something that we feel very strongly will help us better serve our clients as we move forward. We also went through the process of standing up our premier user teams in both Europe, as well as Asia-Pac during that time frame. So again, going a little bit slower to be able to go fast. So now we are thrilled that all of the premier user organization is in the customer engagement model. So our expectation is that, we begin to deliver more consistent results as we move forward. And I think it’s also manifesting itself in having a healthier pipeline going into Q3 than we did going into Q1 at the start of the year, where we had drained a lot with our Q4 finish.
George Colony: We’ll try and lower beta for you, Tim.
Timothy McHugh: Okay. All right. Hey, I appreciate the color. Thank you.
George Colony: Thanks, Tim.
Kelley Hippler: Thank you.
Operator: Thank you. [Operator Instructions] I’m showing no questions. I will now turn the call back over to Mike Doyle for closing remarks.
Michael Doyle: Great. Thanks, everyone, for joining the call. We look forward to being out and visiting with folks post this call and we’re looking forward to a very exciting Q3 and Q4. Thanks very much.
George Colony: Thank you very much.
Kelley Hippler: Thank you.
Operator: Thank you, and thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.